Operator: Good day, ladies and gentlemen. Welcome to the Viavi Solutions First Quarter 2016 Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I’ll now introduce your host for today’s conference, Bill Ong, Senior Director, Investor Relations. Please go ahead, sir.
Bill Ong: Thank you, Ashley. Welcome to Viavi Solutions fiscal first quarter 2016 earnings call. My name is Bill Ong, Senior Director of Investor Relations. Joining me today are Rick Belluzzo, Chairman of the Board and Interim CEO; and Amar Maletira, our new CFO. Paul McNab, our Chief Marketing and Strategy Officer will join us for the Q&A. Please note, this call will include forward-looking statements about the company's financial performance. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our current expectations. We encourage you to review our most recent SEC filings, particularly the risk factors described in those filings. The forward-looking statements including guidance we provide during this call are valid only as of today. Viavi undertakes no obligation to update these statements. Please also note that unless we state otherwise, all results are non-GAAP. We reconcile these non-GAAP results to our preliminary GAAP financials, and discuss their usefulness and limitation in today's earnings release. Also I will point out that corporate allocated costs are now included in the segment operating margin results discussed on this call. The release plus our supplemental slides and historical financial tables are available on our website. Finally, we are recording today's call and will make the recording available by 4:30 p.m. Pacific Time this evening on our website. I would now like to turn the call over to Rick.
Rick Belluzzo: Well, thank you, Bill, and thank you to all you for joining us today. I am pleased with the Viavi results that we are announcing today for both businesses, OSP and NSE. While we continued to have a lot of work ahead of us we made significant progress in Q1. Viavi’s fiscal first quarter revenue, operating margin and EPS met or exceeded the high-end of our guidance range. We had a number of notable exceptions during the quarter and we are on course in executing our long-term strategy to expand profitability. Let me begin with OSP, which had a stellar quarter, with record revenue and profitability that drove earnings upside in the quarter. Strong demand for anti-counterfeiting products was driven by large banknote volume increases, which we expect to continue in fiscal Q2, more on this later in the call. While Q1 is typically a challenging quarter for NSE, we delivered improvements in most areas, including year-on-year bookings growth up 10.3%, our first double-digit percentage growth quarter since fiscal Q3 of 2014. We also achieved significant expense reductions over last year's levels. Our Network Enablement segment or NE is demonstrated signs of stabilization, which has been a top priority. The rate of year-on-year performance decline has slowed in fiscal Q1, down 3.2% from a double-digit level we experienced last quarter. NE saw a business pickup from some of our major North American service providers, as well in increasing wireline instrument growth from a major NEM customer. Our Service Enablement segment or SE showed a 29.1% sequential revenue increase, although it was down 5.1% year-on-year. SE’s growth product mix versus legacy product mix for deferred revenue plus backlog continues to improve with just better than a 60/40 ratio as compared to just better than a 50/50 mix a year ago. We have expanded our footprint in Latin America with the strategic booking win for our xSIGHT product solution building on our differentiated approach to service assurance. We are currently engaged with three NEMs as they integrate our solution in their CEM or customer experience management deployment at some of the leading service providers worldwide. While the SE business tends to be lumpy, we are seeing significant activity around our new solutions and we are delivering early wins, which speak to the strong potential of our SE offerings. We are making positive changes in the organization, as we pursue our mission to improve profitability. The separation into two public companies afforded us the opportunity to transition from the old JDSU name and we have further capitalized on this opportunity to advance changes on many fronts. We are bringing a fresh set of eyes to day-t-day running of the business both at the senior management and at the Board level. Our CEO search is ongoing. We believe that near and intermediate term strategy that we’ve implemented, our decisions any transformational CEO will take as we focus on improving company profitability and market share growth. We don't have a firm deadline to have a new CEO in place as we are being very diligent in identify the right fit while still maintaining a sense of urgency to complete the search. We have also announced two new Board members, Mr. Donald Colvin and Mr. Tor Braham, who have been -- who we believe will add valuable perspective to the Viavi Board along with the current board members both will be nominated for election at our upcoming Annual Shareholder Meeting on November 17th. Both Donald and Tor server on the company's Corporate Development Committee, which is task with reviewing Viavi’s business, capital allocation and various corporate strategies, including maximizing the use of NOLs to enhance shareholder value. As Interim CEO, I am focused not only on making an immediate impact of the business, but also establishing the direction for our intermediate term business strategy, that I believe incoming CEO would implement. We have pursued several near-term objectives, including improved revenue performance through sale and marketing actions, driving better investment alignment with our longer term strategy and taking actions that will improve our expense structure. All of these steps are designed to improve our near-term performance and position, as well as achieve our growth goals. I want to emphasize that I believe Viavi NSE strategy is compelling and leverages our core strength in network test and measurement with new and disruptive software-oriented solutions. Our first order of business is to realign NSE’s operating expense structure, which is currently unacceptable against any benchmark. We will strive to take our complexity and associated costs. We are aligning our R&D investments with areas that provide the greatest ROI for Viavi. We are investing in sales and marketing to support our revenue growth initiatives and build go-to-market model that leverages our product portfolio. Through business process simplification, our goal for the G&A infrastructure is to become more efficient. Second, we must reverse the declining revenue trend. This has been partly macro-service provider spin driven, but we believe that most of the weakness has been because of our model. Revenue from our top five NE customers was up 40% from year ago levels. However, the rest of our NE customer base was down 13% from year ago levels. And we intend to work on revenue diversification across a broader set of customers and extending our global reach. We have a renewed focus on evolving our sales and marketing program to deliver more revenue in a cost efficient manager -- manner. To that end, this week we launched our new channel program, Velocity. This new program will allow us to optimize the use of direct or partner sales depending on application and sales volume. It will also expand our reach into new market segments. At the same time, we intend to also expand our capability to sell and deliver solutions. We have a strong and differentiated product solutions portfolio that customers embrace as evidenced by our healthy gross margins. For OSP, we intend to continue growing our profitable anti-counterfeiting business, which can also benefit from our NOLs. We have been developing other markets in government, healthcare and consumer applications that leverage our optical coating expertise, expertise with anticipated profit growth that can come again from further use of our NOLs. M&A has been an important strategy for NSE revenue and profit growth. Right now, we are primarily focused on getting our internal house in order, which we need to do to maximize the benefit of NE acquisition. That said, we will continue to be opportunistic relative to strategic fit with our NSE solutions platform and OSP business as well as the potential for greater profit drop-through to further utilize our NOLs. Our super distributor model has utilized NOLs over the years by bringing more than $100 million in profit in cash from overseas operations to the U.S. In addition, we structure the Lumentum separation, so that it utilized more than $1 billion in NOLs and allow momentum of lower cash effective tax rate. As we consider future strategies in the operations and structure of entity and OSP, we expect NOL to play a significant role in optimizing profitability. Overall, the strategic decisions that we make in NSE and OSP, will drive optimal use of our NOLs. While we face a few challenges, the opportunities in the markets we serve are significant. And we're off to a positive start in what we expect to be a transformational fiscal year. I would like now to express thanks to all of our employees, our business partners and, of course, our shareholders. Now, let me turn the call over to Amar, our CFO, who joined Viavi on September 9th. His strong operation and financial execution experience will be a valuable asset to the company. So Amar?
Amar Maletira: Thank you, Rick. I'm pleased to be part of the team and see a lot of potential in Viavi to grow topline as well as opportunities to improve profit performance. So before I get into our results, I would like to briefly comment on the separation. During our fiscal first quarter of 2016, we successfully completed the separation of our Communications and Commercial Optical Products or CCOP and the WaveReady business on August 1, 2015 with the spin-off of Lumentum and the renaming of JDSU to Viavi Solutions. CCOP and WaveReady are two JDSU’s discontinued operations and therefore our financial focus going forward is the Viavi business, which consists of both our Network Service Enablement or NSE business and Optical Security Products and Performance or OSP business. Now turning to our performance in the quarter. Even with the incredible work required to complete the separation, we remain focused on executing our plan. Revenue of $229.7 million exceeded our guidance revenue range up $14.4 to $220 million and both NSE and OSP exceeded guidance as a result of better execution. Revenue was up 6.7% year-over-year despite currency headwinds of roughly 4 percentage points. The revenue growth was primarily driven by strong performance in our OSP business. Our operating income at $28.7 million grew $15.7 million or 120.8% year-over-year. Operating margin of 12.5% exceeded our guidance of 7.5% to 10.5% and was up 650 basis points year-over-year as a result of strong performance in OSP and solid operating expense management. Operating expenses were down 6.1% year-over-year, primarily driven by reduction in our G&A expenses. We plan to continue driving higher OpEx savings over time as we optimize NSE’s expense structure and reinvest some of the savings into our revenue growth initiatives. Both the NSE and OSP business segments delivered operating margin results above the midpoint of the guidance range for these businesses. Our tax expense of $5.7 million is higher than JDSU's historical fiscal year 2015 quarterly average expense of about $3.8 million. This is primarily due to higher first-quarter profit and tax jurisdictions that analyst don’t apply and also due to the loss of some tax credits that shifted to Lumentum post spin. Despite the higher-than-expected tax expense, we delivered earnings per share of $0.03 at the high-end of guidance range of $0.04 to $0.08. Now, moving to the results by segment starting with NSE. While revenue of $165.5 million declined 3.8% year-over-year, it was above the high end of our guidance range due to good execution in both the NE and SE segments. NSE gross margins were at a healthy rate of 65.9%, up 120 basis points sequentially but down 110 basis points year-over-year due to product mix. We continue to look for ways to drive efficiency in our operations. NSE’s operating margin of 1.5% was better than the guidance range of 2% to 6% operating margin loss. The better margin performance compared to guidance was due to operating leverage from higher revenue. Operating margin expanded 230 basis points year-over-year due to solid OpEx management in this business as we continue to focus on optimizing operating expenses to align with revenue. In the longer term, this should create meaningful operating leverage as we start growing the top line. NE revenue at $117.6 million declined 3.2% from $121.5 million in the fiscal first quarter 2015. Revenue declines in our wireline field instruments specifically in cable were mostly offset by solid growth in both lab and wireless field instruments. We saw signs of stabilization in the NE business as the year-over-year revenue decline this quarter was much more muted compared to the double-digit decline in fiscal Q4 2015. Strong bookings performance in the wireline and wireless instrument business within NE resulted in a double-digit growth in bookings year-over-year. NE posted gross margins of 64.4% down 160 basis points from a year ago, primarily due to mix. SE revenue at $47.9 million declined 5.1% from $50.5 million while gross margins at 69.7% increased 40 basis points from a year ago. The steep revenue decline in the legacy business in assurance and wireless segments that partially offset a good performance in our growth areas such as location intelligence within wireless and our network instruments in the enterprise space. NE had a book-to-bill ratio above 1 while SE was below 1, resulting in an overall book-to-bill ratio for NSE at roughly 1. This was largely attributed to a push out of deals in the assurance and location intelligence within SE. These deals in SE have longer purchasing decision cycles compared to our instrument business. Now turning to our OSP business, fiscal Q1 revenue at $64.2 million was an all-time record quarter for our OSP business. Revenue exceeded the high end of our guidance and grew 48.3% from a year ago levels of $43.3 million. The revenue upside was attributed to the anti-counterfeiting business driven by increased banknote printing volume as well as an uptick in our government business. Recall the year ago lower revenue base was attributed to the exit of some discontinued products. Gross margin at 57.6% was up 430 basis points year-over-year. Operating margin at 41% was at the high end of guidance range and was up 800 basis points year-over-year. This margin expansion was a result of favorable product mix and operating leverage on higher revenue. Now turning to the balance sheet, our total cash and short-term investments ending balance was $903 million, which includes a 19.9% Lumentum equity investment valued at $184 million. Operating cash flow was $7.7 million and this included one-time cash payment for spin-related activities. We expect some cash payments for spin-related activities to continue into Q2. At our September 2014 Analyst Day event, we set a net $50 million annual cost savings target for JDSU as a result of suppression. Viavi remains on track to achieve the annual OpEx savings target exiting fiscal 2016 and we are targeting even more savings in the longer-term as we simplify and automate. We are making progress as evidenced by operating margin expansion this quarter. With regards to our capital allocation strategy, we have a healthy balance sheet that is expected to strengthen as we improve NSE's operational performance. Given our current cash position along with NOLs to shield profits, we have sufficient cash to cover $650 million in convertible debt. We announced in late September that we will recommence our share repurchase and utilize the $40 million remaining balance of the total $100 million authorized share repurchasing plan initially announced in May 2014. Now turning to our guidance, we expect fiscal second quarter revenue to be in the range of $212 million to $228 million, operating margin at 10.5%, plus or minus 1% and EPS to be $0.06 to $0.08. We expect NSE revenue to be $157 million to $169 million with operating margins at 2%, plus or minus 1%. For OSP, we expect revenue to be $55 million to $59 million with operating margin at 35.5%, plus or minus 1%. Similar to a year ago, we’re not expecting any meaningful budget flush benefiting the NSE business as customer purchase decisions are spread out across the year. We note that Q2 will be a shorter quarter compared to fiscal Q1. Absence of the extra fiscal week in Q1, NSE revenue guidance would have been sequentially up. OSP benefited from some large volume banknote printing demand in fiscal Q1 and some of it is extending into Q2. However, based on our guidance, OSP revenue in Q2 will be lower compared to Q1. Looking ahead beyond Q2, we expect to have a normal revenue run rate in the anti-counterfeiting business along with improving growth in the consumer electronics segment, resulting in the low-to-mid $50 million quarterly revenue run rate. Our tax expense is expected to be between $4.5 million to $5 million in Q2 due to the same drivers we saw in Q1. So in closing, there is work to be done to improve profit performance and drive revenue growth. We believe the actions we have taken and expect to take will drive increased shareholder value. I look forward to meeting many of you at various investor events and meetings. With that, I'll now turn the call over to Bill to begin the Q&A session. Over to Bill?
Bill Ong: Thank you, Amar. I'd like to ask everyone to limit their discussion to one question and one follow-up Ashley, let’s begin the question-and-answer session.
Operator: [Operator Instructions] Our first question comes from Patrick Newton of Stifel. Your line is open.
Patrick Newton: Hey, good afternoon. Thank you for taking my questions. Rick and Amar, welcome to the team. Jumping right in, Rick you alluded to the structure of -- pressure on the expense side of your NSE business is unacceptable and obviously too high and I think that’s something that most of the street would echo. But I am curious if you could help us dive into that, and perhaps this is little bit premature. But what is the right way to think about the correct expense ratio for the NSE business, is there publicly traded entity that you intend to mirror from a cost structure perspective? And if we look at OpEx, is there lower-hanging fruit on the sales side or the R&D side because it seemed to imply that there was some cost cutting initiatives that could impact both line items?
Rick Belluzzo: Yeah, so we’ve done pretty thorough benchmarking. You can think about some of our competitors or people in the industry with the range of operating expense structures and gross margin structures based on the software content of their product offering. So we’ve kind of laid those out, we’ve studied those, and then we’ve evaluated where we fit, what our target is that we need to get to over a period, let’s say, 12 to 18 month period of time. So we are not ready at an analyst meeting, we will be specific about what those goals are, but within that, we feel that we’re most off on G&A, that’s an area where we will have the most areas of improvement. And then we’re somewhat off on R&D which we think we achieved by getting focused on the right segments to align with our strategy. And sales and marketing has a little bit of an offset because frankly we have a lot of work to do right now to build our sales and marketing capability. And so while we think there's opportunity for improvement, it’s kind of secondary to the other areas. And then we also as we move to NSE business -- oriented business with more software content, even though there is a deferred revenue impact, there is a longer-term trend towards higher margin. So we've lined all this out and that results in near-term work to get our cost structure down again mostly around G&A as well as some R&D work that we’re still doing as a result of the $50 million announcement we made before and other optimizations that we will make across how we -- we’re driving our product strategy. We’ve had a lot of silos. We’re driving that into a more end-to-end more consolidated platform, so we can gain more efficiency as well out of our R&D investment. So I don’t give you specific numbers there, but we really see ourselves getting to a point where we can get back to growth are the segments we're in are growing and then we can get into profit margins starting in the high-single digits, eventually the double-digits and you can do the math while kind of operating structure we need to achieve to do that.
Patrick Newton: Perfect. That's helpful. I guess just shifting gears I wanted to talk about your largest NE customer, obviously there is some distraction with recent mergers. And I guess now that noise kind of dying down I think you alluded to some strengths in the September quarter from this customer and then you had a overall book to bill of greater than one in NE. With these particular customers, are you seeing any more clarity in the orders or any potentially pent-up demand? And then on the potential for budget flush, I’m curious you alluded to, Amar on your presentation that it’s more the purchasing decisions are on an annual basis. So you’re implying that the budget flush is the thing in the past or you have somewhat of a conservative outlook into the December quarter?
Rick Belluzzo: Yeah. Let me just start about -- we didn’t make a best usage about our particularly large customer. I would just say that I think things -- by statement is that things are improving somewhat. But as we said in our results, our top customers, our revenue from our top customers has improved. And so we believe that is the case. And so I don’t know what more to say about it. I think we’re positive about it. We will also say that we believe that lot of trends in the market around broadband and wireless and higher performance and a 100 gigabit. And we go through whole list of things that we think will continue to result in more infrastructure development and purchasing of our products. And we believe that the outlook for the market is pretty good relative to the last couple of years.
Paul McNab: One thing I’ll add to that, Patrick, is that you probably saw a recent announcement about our Velocity channel program, where we’ll see an accelerated expansion of our NE business outside of not just the top one but the top five North American service providers as well as into the enterprise too. So we do think there’s opportunity there. And from the technology perspective that Rick was talking about, we do see signs from very good upside on our fiber lab instruments and fiber optic production line test with our main partners that has strong growth in 100 gig deployment coming forward as well potentially as G. Fast on the access side and DOCSIS on the cable side. So we do think the opportunity is good for us from leveraging all of that through our channel globally.
Amar Maletira: So Patrick, thanks for the question. This is Amar here and look forward to meeting you. So regarding budget flush, if you look at what happened last year, we didn't really see any budget flush. So we are not expecting any budget flush. I think it’s prudent to plan that way. If there is some flush that will come in that will be -- we’ll see how that all pans out. But at this moment in time, we are not anticipating or expecting any budget flush.
Patrick Newton: Thank you for taking my questions. Good luck.
Rick Belluzzo: Thank you.
Operator: Thank you. Our next question comes from Mark Sue of RBC Capital Markets. Your line is open.
Mark Sue: Thank you. I understand the benchmarking to get the cost structure relative to your peers. However, there's a prevailing view that the Viavi Solutions, NE and SE are somewhat still relative to competitors and your service providers have all the purchasing power. So shouldn't the near-term focus as should be doubling down on R&D, increasing spending in product development and not cutting R&D to placate near-term investors?
Rick Belluzzo: I think we’re trying to balance that. I don’t want to make a sound like cost-cutting is the only strategy we have because it clearly is not. We are investing in some of the segments that we believe provide opportunity in a significant way. So I really don't believe that we should be just reducing our expenses. But I would say that we do need to make more and more strategic choices of how we spend our money to get them the most area of opportunity. And if you look through our entire portfolio, we see things that we believe we are differentiated and we don't -- we believe that we’re have superior architecture and approaches to some of their problems that people have, and we want to go after those and play them hard and we will invest to do that, but I also believe we have to make trade-offs. And so that's what you have to do in a company like as you got to make bets and you’ve got to decide how to cover those bets and we intend to do both of those aggressively.
Paul McNab: One thing I would say to that as well, Mark, that’s okay.
Rick Belluzzo: Yeah.
Paul McNab: That’s okay. And to Rick’s point on the R&D side, we mostly increasing to kind of a self-funding model where we’ve got cash outflow coming from our NE business and investments to be made in our SE business increasing as we combine those to a platform. So that any savings we made from a G&A side, but Rick mentioned, flows through to bottomline and that’s the balance we’re trying to get.
Mark Sue: Okay. That’s helpful gentlemen. And then, SE, the booking dynamic there, was that really related to push outs and why would that be, is that imply to solutions are still being debated or considered or is that a matter of deployment complexity? Anything you can help us understand kind of how you're seeing SE and how we should think about it longer term?
Rick Belluzzo: Yeah. I think, I have to say since my short time here as CEO and I've dug through everything we have. I’m very excited about our portfolio in SE. Some of the solutions we bring and the approaches we bring are very well received by our customers. Having said that, we have very long campaigns to win these businesses, our funnel and the number of opportunities we have in SE is very, very strong. And I guess, what is challenging, of course, is just to close them. There is competition but it's limited. I mean, there aren't that many players in some of these segments that we see is as we are in the most potential, but to me its most of getting through the proof of concepts and all the other steps that you have to take to be able to close these opportunities.
Mark Sue: That’s helpful. Thank you and good luck guys.
Rick Belluzzo: And I mentioned the Latin America win in the script, for example, because it’s -- we are seeing those wins. The smaller the service provider is almost -- is less of a campaign. But we are seeing those wins and believe those will continue to leverage out into some larger opportunities.
Amar Maletira: And one thing we should also mention is enterprise, of course.
Rick Belluzzo: Yeah. What is that?
Amar Maletira: Very good book ship business and so we saw a very high double-digit growth faster than the Network Performance Monitoring and Diagnostics market that we compete in. So we grew far more than the market in that space as you see the migration from private to public. We’d also actually exploiting the migration from 16 gig to 32 gig on the fiber channel side, as well as some maturation of the Gen3 PCIe market. So the enterprise side is doing very well and the good thing is market is book ship, no rec issue there.
Rick Belluzzo: Yeah.
Mark Sue: Understood. Thank you, gentlemen
Rick Belluzzo: Thank you.
Operator: Thank you. Our next question comes from Alex Henderson of Needham. Your line is open.
Josh Buchalter: Hi. This is Josh Buchalter on behalf of Alex. Thank you for taking my question and congratulation on the good result. Within the NSE group, I wanted to ask about what kind of steps you’re taking for the revenue diversification? And maybe can you help us understand why there is such strong growth in the top five customers but the decline in the outside the top five? Thank you.
Rick Belluzzo: Yeah. I’d be happy to address that. Historically, is a company we have done very well with the large service providers. We've been very well-positioned there. And always have been less well-positioned globally, less well-positioned with some of the smaller opportunities in the industry. So we think that’s not the best place to be. I mean, we certainly intend to continue to be strong with the large service providers, but the market is becoming more and more distributive. Some of the large providers are looking to contractors to provide some of their testing capability. That means we have to sell in smaller chunks, more growth in Asia and so on. So we believe that that a shift that we have to make. I would further say that when we went through some of our cost reductions before, we had headcount reductions in sales and those were often made, what I would call it more of the edge of the market that in the core strength that we had in service providers. So that’s kind of the history and we saw the revenue result of that. So what we are doing today is, we’ve returned back a bit of the headcount on the sale force. We are actually rebuilding and in fact moving high back-up from where we were a month or two ago in our sales count deployment. We have introduces velocity program. We really not had a complete channel program in the company and so that's something we believe is really critical to expand our reach and to move into different segments. We are looking at some of the developing markets, where pricing is more aggressive and how we can repackage our offering and how we can deliver more cost competitive solutions. So we can win more there. We've done some resource shifts through the sales force from our product groups and I could go on and on, building our lead gen capability. We are pushing and have been pushing in recent months on many levers to be able to get the NE business back to a stable if not growth opportunity, which is what we think is consistent with the marketplace and so we are really all over that, because that that’s where we are going to get the most immediate revenue improvement, while we want to build bookings in SE we know that in many cases it takes longer to see that revenue. So that's the big opportunity. We are focused on that, working very aggressively to put in place, what I would call a more complete go-to-market capability that goes beyond big service providers into various segments, into various geographies to smaller sized customers. And I would also say that’s part of our cost reduction strategy as well, because we really need to turn over a lot of the processing of our business to partners, who can do it more efficiently then we can in some of the smaller purchase quantities.
Amar Maletira: One thing I will add to that, there is lot of program is a big deal. And to Rick’s point North America was up high single-digit and China was a very high double-digit, although, much smaller base, but frankly, EMEA was down double digits, Asia-Pac was down high single-digit and LatAm was down high single-digit. And so we do believe there is a lot upside, particularly on our NE business to take through channels. So we have -- as you sure you read on the press release this morning, a very extensive program to make up the gains, losses that we had in those other regions.
Josh Buchalter: Thank you. That's very helpful. And then, lastly for me, given, what’s going over the NOLs, how should we think about modeling the tax rate going forward, it’s been somewhat lumpy? Thank you.
Rick Belluzzo: So I think the tax rate, that’s why we have given a specific guidance, Josh, on the tax rate. Based on what you saw in Q1, I think, you should model the same tax rate in -- from Q2 to Q4.
Josh Buchalter: Great. Thank you and congratulations again.
Rick Belluzzo: Thank you.
Paul McNab: Thank you.
Operator: Thank you. Our next question comes from Rod Hall of JPMorgan. Your line is open.
Rod Hall: Yeah. Thanks for the question guys. I guess, I wanted to go back to the OpEx commentary, like I think, some of the prior questionnaire had mentioned, most of the market believes that that OpEx need to come down, particularly in NSE business? I am just wondering why you guys aren’t qualifying anything today, is it because, Rick, you only had a couple of months here to take a look at the business and you're just still analyzing things and/or do you think that that you need to wait until a permanent CEO’s named and then at that point what that person determines just how aggressive they want to get on cost cutting? I am just trying to understand, why not quantification today and then when might we expect some sort of qualification and then I have a follow-up?
Rick Belluzzo: Okay. What we -- we discussed this, we do have a model. We have a model that we're pursuing internally and we have a very extensive program, where we are going through individual certain parts of our business to really get to the core reasons why we are more complex and why our expense structure is what it is. So, I don’t want to get any impression that we are not pursuing this aggressively. We have a model that’s we think sufficiently aggressive and we're pursuing it. We discussed when to talk about that publicly, we decided that an Analyst Day kind of environment would be the best environment to do that. And yes, certainly, a CEO, we’d like a new CEO to be on Board to embrace that or do a different one. But that’s a factor that I think also plays into the view that we should wait until we put that together. But I would just kind of say again that we’re very clear what we have to be -- what has to be done. We have very clear goals. We’re pursuing them and we believe as I said before that it gets us -- our goal is to get the high single digit types of operating income within the next 18 months. And so you can do the math with assuming fairly flat gross margin over that time period, maybe some slight increase and see the work that we have to do. But we’ll be more clear on it. But we just said that we need to get pass some of these other points before we do that.
Rod Hall: Okay. And then just on the follow-up, I just wanted to check on, your OSP margins has been running really well last couple quarters. Just wondering if you guys could comment on the sustainability of those margins. I know you’ve had a lot of big currency deals going through that. Did that continue or how should we be thinking about those margins moving forward?
Amar Maletira: So Rod, this is Amar here. I look forward to meeting you sometime soon. So on the OSP margins, we -- margins of 41% in Q1 was mainly driven by a, favorable product mix. When you have anti-counterfeiting business growing, it usually comes in at a very high margin, and number two is a very high operating margin operating leverage on this incremental revenue. What I would suggest is if you are thinking about how to model it, I think we have provided 35.5% as our Q2 guidance plus or minus 1, I think you should focus on that. I don't think we will be getting to 41%. And this was as I said Q1 was an all-time record quarter both on revenue and profit and should not expect that to repeat.
Rod Hall: Okay. So I’ll just take the 35.5 out into the future, not much fluctuation from them the way we….
Amar Maletira: Well, I'm not -- I'm actually not guiding for the second half but I think that’s -- that's something that you should consider for Q2 at least and then see how your model works. 
Rod Hall: Okay. Thanks Amar.
Operator: Thank you. Our next question comes from James Kisner, Jefferies LLC. Your line is open.
James Kisner: Yeah. I’d like to kind of start with the housekeeping question. I believe you guys said that the second quarter is shorter. I guess, as a shorter quarter, I was wondering how much you kind of quantify the revenue and expense impacts from that and overall clarify the second quarter performance?
Amar Maletira: Sure. I think the math can be very simple there. Right, it’s 14 versus 13 weeks quarter but let me just give you some colors here. So when we provided the guidance for Q1, we had already contemplated this was going to be a 14-week quarter. So that was not a surprise. Now when you think about Q2 -- from Q1 to Q2, you definitely need to start thinking about, hey one week less of book and ship, right. So if I exclude that, you will see that our revenues for our NSE business actually sequentially goes up from Q1 to Q2. So you can do a rough math on that. We were $165.5 million in Q1. It’s a 14-week quarter and you can do roughly the math on the impact for one week. Does that help?
James Kisner: Yeah. How much the business is book and ship at this point. Maybe you can talk about proportionate CMI of NSEs?
Amar Maletira: I didn’t follow the last part of the question. I'm sorry. You just …
James Kisner: I am just wondering how much of the business is really attributed to booking shipping, some exposed number of days in the quarter, is it -- and I guess I talked about or maybe question might be how much your bet is in vendor managed inventory at this point if any?
Rick Belluzzo: Yeah, we don’t really have any in vendor managed inventory, so it’s not that. I think it’s -- when you’re having extra week, you cut off to read your -- you have an extra few days, which you also have more things to ship, I think that’s why we talk more about book to ship because that extra week is mostly an advantage around shipping more products. So it does have an impact.
James Kisner: Okay. And just on channel development, I am just curious if you can I guess talk at least conceptually if not quantitatively about the investments that you're making in a channel, is there period of time, are those investments are pretty dilutive and a point at which in time you think that due to channel that now will be accretive, just talk about those investments that you’re making in channel and a nature of those?
Rick Belluzzo: Yeah, I will make a comment. Paul might be able to add to it. I mean, I don't think it's a just kind of the nature of the channel. I don't think of it as being very dilutive. I think the revenue upside, we will see benefit very, very quickly. And the investment has been underway now for months as we put together all the ITs, infrastructure and the programs and all the other elements. And so a lot of the investment has been made and we think that from here forward, it’s going to be -- it’s going to have a positive impact that would be my judgment, I don’t know if we have a number of our investment there.
Paul McNab: So the only big investment and it’s not really investment, we have $3 million contra revenue MDF that we have in place, but by and large it’s driven from a three tier channel architecture where we go from the top. We have Elite and Premier and Authorized partners and we fund based on that on MDF. So it’s essentially a self-funding model, essentially.
James Kisner: Thanks very much.
Operator: Thank you. Our next question comes from James Fawcett of Morgan Stanley. Your line is open.
Meta Marshall: Hi. This is Meta Marshall for James. A quick question on just, if you could speak to any kind of dissynergies that you’re seeing now that you guys just some momentum, particularly as you try to kind of expand your customer base. And then just a housekeeping question. I don’t know any person that you’re going to make a cash transfer to Lumentum which doesn't appear to have taken place. Is that still planned in the next quarter, or is the dynamic of that changing? Thanks.
Amar Maletira: Yeah, let me take the second question first. So we did do the cash transfer and that’s done, that’s already reflected in our cash flow and short-term investment of $903 million. So we did complete the cash transfer.
Meta Marshall: Okay. Great.
Rick Belluzzo: And I would say I do not -- I am not aware, I've not found any or seeing any dissynergies that concern me or that are even notable. So I think that the way we’ve structured the company is and doing the spin really allows us to get more efficient to have a more homogeneous, it’s got a business management model for writing the company. And so I haven't seen dissynergies that have caught my attention. So I think we’re -- we can become more efficient and more effective I believe today more than we could before the spin.
Meta Marshall: Great. Thank you.
Operator: Thank you. And our final question comes from Jorge Rivas of Craig-Hallum. Your line is open.
Jorge Rivas: Thank you, guys, for taking my question. So I want to dig in a little bit on the areas of growth in your SE segment. So first on location intelligence, wondering if what drove the growth was actually uptick on demand through, maybe you’re able to accelerate your VSOEs. And on the same lines on the network instruments side of the business, I know in the past there were some execution issues that probably caused some share losses, but it seemed like enterprise it well in the quarter. So I wonder if you can provide some color as well on network instruments and what exactly drove growth in the quarter.
Amar Maletira: Okay. So let me start up with the enterprise and then I’ll go into the location intelligence. So in the enterprise side, we increased and improved our sales coverage model that helped for lot to me believe the velocity channel program will take that and globally fitting that was very well. So we did grow high double digits on the enterprise side. And we did see on our SNT business, our storage and network test business some decline in that side of the business, but overall we did see, as I said, growth of 15%. And some of our product line as Rick said, we are increasingly moving towards virtualized model that allows us just to make increased penetration cloud and we’re seeing some slight uptick on that side, but that’s where a major growth opportunity is. So we’re making major inroads in the, I would call the network performance monitoring and diagnostics segment on the enterprise. On the LI side part of the business, we’re seeing major growth there from the mobile operators addressing the burgeoning demand for LTE, hotspots growth there and as well as both these as well. And so we’ve seen extremely high double-digit growth from a revenue year-on-year perspective on the LE side of that business, so that’s being very positive. We’ve seen that growth in North America, mainly we’ve seen a lot of growth there, a lot of growth in LatAm as well. So did answer your question?
Jorge Rivas: Yes. So it sounds like it’s more of an uptick in demand that you’re seeing on LI, more broad-based, right. But I was wondering, I believe last quarter you had mentioned that you guys were looking to accelerate a little bit VSOEs?
Amar Maletira: Yeah. Sorry, I forgot to mention the VSOE. So yes, the VSOE, it’s a performing, making progress on that. As Rick said, our funnel is very strong. Obviously, you have to go through acceptance. It’s a lumpy business. So we did have a major acceptance, again from top five North American service providers. So we are getting acceptance. We feel our pool of customers is strong, so we do believe we’ll get VSOE and we just have to work through the acceptance issues.
Jorge Rivas: Okay. Great. Thanks a lot. That’s all for me.
Operator: Thank you. That does end the Q&A session for today. I would like to turn the call back over to management for any further remarks.
Rick Belluzzo: Thank you, Ashley. This concludes our earnings call for today. Thank you, everyone.